Lluc Sas: Good morning and thank you for joining us for Sabadell Results Presentation for the First Quarter of 2021. My name is Lluc Sas, I am the Deputy Head of Shareholders and Investor Relations, and presenting today are our CEO, Cesar Gonzalez-Bueno and CFO, Leopoldo Alvear. This quarter, we plan to spend around 30 minutes presenting our results and then we will answer your questions for an additional 20-30 minutes. In today's presentation, our CEO will start by going through the key developments of the quarter before providing some details on the most significant topics. Our CFO will then discuss financial results, asset quality, liquidity and capital, before our CEO concludes with some brief closing remarks.
Cesar Gonzalez-Bueno: Thank you, Lluc. It's a pleasure to be here with you today in my first quarterly results presentation with Sabadell. I am very satisfied to do it hand on hand with level where, we believe it is important to kick-off together this new, exciting project. Before going into the details of the presentation, I would like to share with you some of my first impressions about the bank. As expected, my first objective was getting to know the bank, including its people, its numbers and a sample of its clients. And I also wanted to gain a good understanding of what we do well, and what needs more focus. My preliminary conclusions are very simple. First, our people are good. They have the will and the skill. The latest evolution of the bank has left them with an eagerness to perform to recover the shine we used to have when we were a good performer. I understand this might sound soft and unquantifiable. But the positive team's attitude, it's making a big difference. We have gone through a lot of change at Sabadell and have increased the focus and accountability. I have found the team very welcoming to these substantial changes. Leo will talk today about the book and the risk profile of the bank. As an appetizer, I can share that we have found no surprises, and that after the decisive actions taken in Q4 last year, our balance sheet profile is in-line with our peers. Furthermore, we believe it's a good platform for the development of our strategic plan. About the quality of the franchise in Spain, a few remarks. In Retail, there is room for improvement, especially in costs. In SMEs there is an opportunity to strengthen even further the advantage we have leveraging on good and lasting client relationships while we keep managing credit risk properly. Corporate Banking in Spain is a sound and profitable business, and our corporate foreign activities nevertheless, we are implementing a more disciplined capital management. The TSB as we will see today, is improving and makes us optimistic for the future. But all of these will be covered in more detail during the Strategy Day in May. Today we want to focus on q1 results. So please let's move on to the presentation. Moving on to Slide 4, we highlight the key developments during the first quarter. Firstly, we have significantly improved our governance. Secondly, we have a new organizational structure. It is aligned with what will be our future strategy. Thirdly, our franchise commercial performance in the quarter has been strong both in Spain and in the UK. Fourthly, TSB has contributed positively to the group. This is good news and a sign of TSB's turnaround. Finally, net profit stands at €73 million and we expect that it will benefit from NII tailwinds and cost savings from second quarter.
Leopoldo Alvear: Thank you, Cesar. And good morning, everyone. Let me start by saying that it's a pleasure to get back in touch with all of you those who already know me from my previous role, and those whom I haven't had get the pleasure. I'm very excited to have joined this project for I believe, is a very solid franchise to which I think I can contribute with my previous experience in the sector. So far, I've only been 60 days in a job it's matter of fact, 40 working days. I spent most of my time here in Barcelona, among other things going through the bank's balance sheet. And I believe that as we will see later, there are no major issues and therefore the monk is aligned with market standards. As Cesar mentioned, I'm also personally encouraged by the strong financial performance of the bank in the first quarter. The capital position is stabilized at 12% CET1 ratio, showing a benchmark MDA buffer of above 360 basis points. TSB has become a positive earnings contributor to the group and is showing strong commercial momentum. And the profitability in Spain is set to accelerate in the coming quarters on the back of a strong commercial activity and cost savings derived from the restructuring problem which has been successfully executed in Q1.
Cesar Gonzalez-Bueno: Thank you, Leo. We've come to the end of the presentation of the Q1 results. But before going into the Q&A, allow me just a couple of considerations. The Investors Day will take place on the May 28. Nevertheless, many steps of the implementation of the new strategy have already been taken. The new organization of the bank and the new organizational governance and the new organizational structure are key pillars for the deployment of the transformation that we envision for the bank, and the first steps of the journey. But quite a few other actions have been taken already. Just as an example, the new management objectives have shifted their emphasis from business volumes to profitability and return on capital. The review we have undertaken of the balance sheet and the overall situation of the bank, give us confidence that the starting position generally in line with the market is an adequate platform on which we can develop our plans. We look forward to seeing you on the 28th. Please save the date. And with that, I will now hand it over to Lluc, to kick off our Q&A.
A - Lluc Sas: Thank you, Cesar. We will now begin the Q&A session. As we only have a limited amount of time available, I will count he asked to limit the number of questions to no more than two. Operator, could you open the line for the first question, please?
Operator: Thank you. The first question comes from the line from Britta Schmidt, Autonomous Research. Please go ahead.
Britta Schmidt: Yeah, hi there. Nice to talk to you this morning. I have got three quick questions, please. The first one is on restructuring costs. Are there still any pending restructuring costs courses on the TSB side that we need to include in the future, as you alluded to a potential further cost of restructuring? Could you describe to us any thoughts on how to fund future cost restructuring plans? What thoughts would you take regarding the capital management there? The second one is could you elaborate a bit on where you are regarding the benchmark lending targets? Maybe you can give us some numbers on where the portfolio stands for the target? And then lastly, on capital, are there any further regulatory headwinds that we should bear in mind from here going forward? Thank you.
Cesar Gonzalez-Bueno: Okay, let me just give a high view and then I'll pass it on to Leo. On the restructuring cost of what his plan today for the UK is a very limited amount pending. In further costs, and further restructuring. I think we'll give you a better view in the Strategy Day. And on regulatory headwinds, we don't see anything significant this year. And we are estimating around 15 basis points from EBA guidelines only for 2022. But please, Leo, if you can further comment.
Leopoldo Alvear: Sure. So starting with the TSB restructuring. Yes, I think we disclosed last year that there were still pending £30 million to be booked this year, we've covered a fourth of that in the first quarter just didn't show any more extraordinary. So it's included in the €200 million of costs from TSB. And the reminder, this is three fourths of these £30 million  will be booked in the coming three quarters. As per the benchmark. Yeah, we're well ahead. I think we are over €1 billion on top of the benchmark. So we are very confident that we will address this issue with no problem. At year-end moreover, looking at how volumes are evolving in the first few months of the quarter. Now that's basically the reason why we went and withdrew an additional €5 billion in the March's auction. And finally, on capital headwinds. Well, it's a pleasure to say that we're not expecting any more this year. All of them were booked last year, including the TRIM and low default portfolio and new definition of default. So no surprises for this year. The only thing we I have in the pipeline if you wish, it's EBA guidelines, which will come from 2022 onwards and it's not material. We're talking about 15 basis points in 2022 which we will work to offset it with other actions.
Lluc Sas: Thank you, Britta. Can we move on to next question, please?
Operator: Thank you. Next question comes from the line of Ignacio Ulargui from Exane BNP Paribas. Go ahead.
Ignacio Ulargui: Hi, good morning. Thanks for taking my questions. I just have two quick questions. One is if you could give us some more color on the loan growth in the quarter? I've seen there has been a lot of growth in the large public - large corporates and public sector portfolios. Just to get a bit of a sense of how that would sort of like - well that's a strategy or a bit of an opportunistic take in the quarter? And secondly, very nitty-gritty question, but I mean, there was a huge increase in equity method and dividend. Could you just elaborate a bit on what to expect in the future and what was there in the quarter? Thank you.
Cesar Gonzalez-Bueno: First one on the corporate and public sector growth, I think we're very comfortable growing there in this period. It's a place where the numbers and when the asset quality can be much better tested. And we were happy to grow on that side. And I pass on the equity method question on to Leo?
Leopoldo Alvear: Sure. If I can add on the evolution of the loan growth for the quarter, I think we are pretty satisfied to see that we've grown over different sectors - and segments, sorry. So mortgages are up slightly, but they're up Q-on-Q and uncertainly year-on-year. We have corporates, large corporates been up 2.2% on the quarter, and 0.6% on year-on-year basis. But also as SMEs, which are growing 2.8%, also in the quarter. And so I think it's been pretty stable all across a book that we've seen good demand from our clients, and therefore we've been able to grow the books. And finally, going into the equity method, this is a one-off and it's due to an update valuation of some companies that are accounted through equity method in our venture capital, in Banco Sabadell venture capital. Note this is according to IAS 28, which allows to value the interest of some subsidiaries at fair value through profit and loss. This has been obviously reviewed by our auditor. And no, we're not expecting any further impact through the coming quarters.
Lluc Sas: Thank you, Ignacio. Operator, could you connect the next caller, please?
Operator: Thank you. Next question is from line of Maksym Mishyn from JB Capital. Please go ahead.
Maksym Mishyn: Hi, good morning. And welcome Cesar and Leopoldo. Thanks for your presentation and taking my questions. I just have one, on TSB. So previously, the bank was considering potential disposal of TSB, but now you seem to have changed your mind. I wanted to ask you what has changed in your view for the bank and whether you would again, consider potential disposal if someone offers the right price. Thanks.
Cesar Gonzalez-Bueno: I think the guidance that we are giving very clearly today is that we will not initiate in the near term, any corporate transaction, neither on TSB nor Mexico. And the reason on - specifically on TSB is quite simple. I think I've had the pleasure and the luxury to be - to sit in the board of TSB for the last year - for a year. And the assessment of the quality of the franchise has made the board to reconsider any potential disposal at this point in time. We are confident of the turnaround. We trust the management, we want to give continuity to the plans that are being developed there. And in reality, we feel confident that there is much more value to come from these franchise. This was confirmed that decision was made previously, but certainly the results of the Q1 confirm that line. And this is our message also that, we are not at this point in time looking for any interest in the franchise. We just want to support it and see it grow to its potential.
Lluc Sas: Okay, let's move on to next question, please.
Operator: Thank you. Next question comes from the line of Andrea Filtri from Mediobanca. Please go ahead.
Andrea Filtri: Yes, thank you very much. Two questions. One, if you could please elaborate a little bit around the material increasing risk-weighted assets Q-on-Q despite loans being fairly flat? And the second on the healthy growth in deposits. If we should expect any change in deposit guarantee funds the resolution fund contributions on the back of that? Thank you.
Cesar Gonzalez-Bueno: I'll leave this one to Leo. But certainly, the growth in volumes it's the main driver of the risk-weighted assets growth.
Leopoldo Alvear: Yes. Andrew, I think they issues on an average standpoint, you're not seeing a huge growth because as we tried to explain before, most of the growth has taken place in the month of March. So it has been back loaded in the quarter. That's why we are kind of optimistic for the evolution of an NII going forward. Because these volumes will have to bring us interest in the coming quarters. But at the end of the month, we have seen an increase in - obviously RWAs which were linked these increase in the volumes. Okay, and as per the deposit contribution for the deposit guarantee fund, and IDE SIC , I think the numbers should be pretty stable with regards to last year numbers. So around, the deposit guarantee fund will be around €115 million-€120 million, and the fund for Europe will be in the region of €80 million to €90 million.
Lluc Sas: Yep. Okay. So, operator, next question, please.
Operator: Next question comes from the line of Mario Ropero from Bestinver Securities. Please go ahead.
Mario Ropero: Hi, good morning. I wish you the best of luck to all you guys in the new stage. First question is, since you may need to get resources to fund future restructuring. One of the questions was, can you tell us how much unrealized gains you keep in the ALCO portfolio? What are the levers you could use to fund restructuring? And then another question on state-guarantee loans. And apologies if you said that before I missed this part. On the €12.5 billion ICO loans, could you please tell us how much Stage 2 and Stage 3 loans you have there? Thank you.
Cesar Gonzalez-Bueno: The resources to fund might have a number of origins for the future. To the specific question of how much upside we have in the ALCO book? I would say it's around a billion. And I leave more concretion for Leo to provide.
Leopoldo Alvear: Sure. I mean, on the ICO loans, we have very little Stage 3, because everything's performing yet. So I'd say around 2% which compares - I saw this morning an article that came from Bank of Spain, which was sharing some data for the for the for the market. And if I recall correctly, it was around 1% of Stage 3 loans booked in the ICO loans profile. While the Stage 2 is around 9%. If I recall correctly, the data from Bank of Spain was around 8%. So we seem to be more or less in the back here.
Lluc Sas: Okay, can we move on to next question please?
Operator: It comes from the line of Carlos Peixoto from CaixaBank. Please go ahead.
Carlos Peixoto: Hi, good morning. Thank you for taking my call, my questions. First question would be on provisions. I was wondering if you could shed some light on your outlook for cost of risk for the year. And besides cost of risk, while we have always this additional provisions related with proposed assets in NPA management costs. I was wondering whether the first few feeder for these two lines could be perceived as recurring figure for coming quarters, particularly on the NPA management costs. And then secondly on fees, if you could give us a bit of color on what you expect to see for the full year? That would be very helpful, thank you.
Cesar Gonzalez-Bueno: I leave one-off provisions to Leo. On fees, I think we are planning quite a bit of stability. We are reviewing nevertheless, some elements of the structure of the fees in retail, but we don't foresee any major changes.
Leopoldo Alvear: And in terms of provisions, I think we guided at the end of last year for a cost of risk which should be between 2019 and 2020 we are more or less there. The first quarter has been slightly better than what we expected in terms of the evolution of asset quality. So far so good is what we can say. Of course, we need to wait and see what happens in second Q. As I said before, we have big client of our moratoriums expiring these years, we and the rest of the sector. So things are looking good. But we need to see how these evolves in the coming quarters. And also, it's a little bit too soon, in my opinion to change the guidance. Give us some time, I think the banks will need a little bit of time to see how these loans evolved from second Q onwards, because it's close to 70%-80% of the remainder, which is expiring these days next quarter. So far, we've had good experience with what has expired, but we need to wait. I prefer to be a little bit more conservative here and see what we can see in the coming months. As per the provisions related to foreclose and NPA management, I would model them to be more or less stable throughout the year, if you wish.
Lluc Sas: Okay, thank you, Carlos. Operator, could we move to the next question, please?
Operator: It comes from the line of Francisco Riquel. Please go ahead.
Francisco Riquel: Yes, thank you. So it's such a pleasure having you on board here. It's reassuring to hear from you that you found no surprises in the balance sheet. So I also appreciate that the clean-up made by the end of last year. You have shown asset quality metrics, where you rank well in all the legacy NPLs and NPAs that you have in the balance sheet. But I wonder if you can give us more color on the SME book to have a large SME exposure bigger than peers. So if they equal - along there for example, the early maturing in in 3-4 year for now. So what is --what - if you can share with us what you have already seen in that book? And any feedback that you can give us there. And then also I have a follow up on this NPA management course, which if I were to analyze. Because you mentioned that it's recurrent. The management costs will be 20% of the net real estate assets of a net book value which looks too high for me if you can please explain, what's here. Thank you.
Leopoldo Alvear: So shall I go for the for the SME front, if you wish now? Well, the truth is that Franco, I've spent some time now looking at the books and basically comparing them with the market. And as you all know, I have some previous experience in the market in Spain, no. I haven't seen something which is definitely different to others, to be completely honest with you. So I was just trying to show factual data. I think we are in the PUC, we are more or less, where everybody is. And even if it goes segment by segment and I look at SME exposures are, the breakdown of our book, it's relatively similar, even want to look at the different stages to our peers. We have a part of the book, which is in a Stage 3 is probably even a little bit higher than our peers. So you can say that we are either more conservative or that we have a worse book. I don't know. Because I don't know the books of my peers. But we are more or less in line on that regard. When I look at the observed default rates of our books, and moreover, of our SMEs, they're not worse than the ones of our peers. They're actually even better. How is this going to evolve with these ICO loans going forward? Well, I think what is clear is that the measures that have been implemented both moratoriums and ICO have been the right ones. I think that's the first thing to say no. And this has been a certainly - has given us the opportunity to manage this situation appropriately for the banks. I think the fact that these loans are maturing from 2023 onwards, it's pretty good because it's going to give a lot of time to these SMEs and corporates to basically recover from these what we hope is going to be liquidity crisis. Because we are already seeing that the vaccines are coming. We're seeing that consumption is picking up in those countries where they are ahead in terms of the vaccination process. And the economy is really picking up faster than what we all thought on those geographies. So I would certainly expect that to happen here in Continental Europe. And if that is the fact, I think we will see that the evolution of those loans should be good. But again, as I said before, in the case of moratoriums, it's too soon for me to give you - I don't have. Unfortunately, I don't have a crystal ball. So I cannot give you the precise numbers of all these is going to evolve. So far, so good. I think the evolution is good. I think the macro it's getting probably faster, better than what we thought. I mean, the micro within the macro. So we are reasonably optimistic on that regard. But again, as I said, it's a bit too soon to change guidelines or to give you - unfortunately, to be able to give you any more color on that. And sorry, I don't remember the second question
Francisco Riquel: Regarding the NPA costs evolution, future evolution?
Leopoldo Alvear: For maintaining - of managing an EPM What I said, I think this should be running down. Obviously, it has been running down in the latest years, because the NPA pool has been coming down. So we have our agreements with our services? As I said, I would tend to believe that the numbers that we showed in Q1 would be more or less stable throughout the year, and then perhaps going a little bit down in the coming years. But this is a very stable, or a reasonably stable number.
Lluc Sas: Thank you, Franco. Let's move on to next question, please?
Operator: Thank you. It comes from the line of Stefan Nedialkov from Citi. Please go ahead.
Stefan Nedialkov: Yeah, hi, guys. Good morning, or I guess Good afternoon for you. It's Stefan from city. So, just taking a step back. As said, there has been an ING, obviously, much more of an asset-light platform business in Spain, compared to a traditional bank deal was at Bankia, two very different business models. In the case of ING, obviously not many branches, et cetera, et cetera. If Bankia a lot of the capital generation was driven by delivering, so two very different approaches. How do you guys plan to turn the business around at Sabadell? There are many routes you can take. I know the Investor Day is on the May 28, but any big picture comments as to the overall approach you are going to take here. And related to that question, what would make M&A attractive to you at the group level not just Mexico or TSB but just at the group level? And how much time has to lapse at a minimum before you consider that M&A. If I may also look back to what Leo said on risk management, that he went into the balance sheet and didn't see much difference versus peers. Leo, I believe you're right if you look at the overall. However, when you flip the book by corporate and retail, if - I take Caixa as an example. Sabadell's eligibility parameter for corporate is quite a bit higher versus Caixa. And I don't know whether that's just the attitude towards risk management and risk underwriting in the previous ex-years before you came on board. But how are you going to turn that around? How are you going to improve the risk management in terms of seniority of exposures collateralization? How are you going to reprice that book to increase profitability? Sorry for the many questions and many tough questions, but if you can just give us some color on the overall direction on the risk management and M&A that'll be really, really useful. Thank you.
Cesar Gonzalez-Bueno: Well, I think, Stefan, many of the questions that you have been raising are intended to cover more on the Strategic Day than on the Q1. And I think we will address a number of those on the on the 28th. On M&A and guidance. I think the only thing that we are ready to share at this point in time is what we've expressed and that we believe on - and that's the mandate that we have from the bank, that we believe that our roadmap is as a standalone, that we believe that we have sound the starting point to do so. And there are elements of improvement looking forward that as I mentioned, we will cover in more detail, we've given some hints, but that we will cover in more detail on the 28th. In terms of disposals, as I just mentioned, there's nothing at this point in time, neither on TSB, nor Mexico, which are the largest ones. In terms of strategic alliances, we will continue exploring different fronts. On minor activities - and always with much more of than industrial focus. So are there partners that can deploy like in the renting business that we announced yesterday evening? Are there burners that can perform that industrial task with more scale with more knowledge than we do ourselves? And that's basically, Leo you maybe want to add something?
Leopoldo Alvear: Sure. Well, the first thing I'd like to add is that I really liked the comparison that you made at the beginning, Stefan. Of the background of Cesar andmyself. That's one of the things I liked when Cesarcalled me at the beginning of the year, in order to join this project. No, I think we fit very well. I think Cesarhas a lot of knowledge of how to digitalize and how to run a bank with a lower amount of footprint. And I bring some knowledge on the table of capital allocation. Efficiency and capital allocation, which is something that we've been very focused in bank. On top of that, or getting into your question regarding the risk. Well, as I said, when I look at overall numbers were pretty similar to the market. I haven't specifically looked at a given target such as Caixa, as you were mentioned. And we will address these with more detail at the Strategic plan as Cesar was explained. But the one thing that I think is very different or is different, at least to the average of our Spanish peers, it's our potential in terms of revenues. This bank earned a pre-provision profit of €1.85 billion euros last year. When you look at metrics of NII, fees, even of gross margin or with total assets, probably this bank is number one, or in some things, number two in Spain. In other words, we have much more power in order to take into or to take care of potential or - potential higher - potentially higher cost of risk, which would be in any case, derived from the fact that we have higher margins in the upper part of the P&L. So when I compare for example, with my past experience, I was just telling Cesar, when we were coming down. I am I am very excited about the path and the speed at which the income in these franchise can grow compared to experiences that I had with a very mortgage book weighted, which is much more difficult to evolve because it takes a long, long time.
Lluc Sas: Thank you, Stefan. Operator, can we move on to next question, please?
Operator: Next question comes from the line of Carlos Cobo from Societe Generale. Please go ahead.
Carlos Cobo: Hi, good morning. And thank you very much for the presentation. And of course, congratulations and best of luck with the new roles. I'm going to follow up on some of the discussion before trying to get the little bit more color from you. So two quick question from me quickly. If I'm doing the numbers right, we have some estimates there. But you have something like 4% of the total loan is still on moratoria as of December or is your share of the unsecure share of ICO loans. Against that the bank has provided very little provision of cost of risk as a buffer. So, obviously, I know the rationale of why asset quality is going to be stronger this year. But could you give us a little bit of color on what is the active default ratio that you are embedded in your guidance in the retail moratoria and ICO loans so we can cross check that. Because right now, if you keep like 90% of your payment holiday loans are performing the models the provisioning models can give you the cost of risk you want obviously. Because there's not factoring in the potential MDA formation. So could you please elaborate a little bit on that? I think we're a bit lost. And that's why the market is not pricing in the customers with that we've seen across the sector. So that will be super helpful. And then on TSB, another good follow up. In my opinion, the divestment in TSB was instrumental for the turnaround of Sabadell, refocusing on the Spain, unlocking some capital potentially depending on the price to finance more restructuring. So I understand the prospects for the UK banking sector are improving. That should improve price and valuation, but maybe Sabadell could get a better trade if they redeploy the capital or refocus on the Spain. So I don't really understand very well, why you decided to postpone it. Is it's because you didn't have acceptable this? Could you touch on that if it's possible? Lastly, a very quick one on capital. What's your strategy on capital? Do you think this discussion in the bank that the Sabadell could need a slightly higher capital ratio to reassure investors on the market on a higher valuation, carrying a high capital ratio north of 12% to reassure on the exposure to SMEs and the asset quality concern that will be waiting on the stock? Thank you. I'm sorry for the long questions.
Cesar Gonzalez-Bueno: If I may, I'll take the TSB one and leave the other two for Leo.
Leopoldo Alvear: Of course, you always take the easy ones.
Cesar Gonzalez-Bueno: So of course - get used to it Leo.
Leopoldo Alvear: Yeah. I know.
Cesar Gonzalez-Bueno: So on the TSB one, we see a potential of improvement in the franchise, and that is strong. And therefore it's - of course a judgment call, but our judgment call is that this is the right decision - that this is the right decision. And that's why we together with the board have taken a clear view that in the near term, we are not going to start any process around the TSB. I hope that the results will show that we made the right decision. And with that they pass the easy ones to Leo.
Leopoldo Alvear: Okay, so getting into the easy ones, especially one about the potential cost of risk, Carlos. I'm afraid we're going to disappointing the answer. I think it's too soon to try to give more guidance to the market. I think this market tried to explain a little bit more in detail how we thought our cost of risk was going to perform last year. We showed our strategic models, but they're very complicated as for models. And they're based on a number of assumptions. So it's - I think it's very difficult to agree on a certain view there. In my opinion, and I'm sorry, because I know the answer is going to disappoint you. But I think we need to wait a little bit. We need to wait to see how this Q2 evolves. I think this is going to give us a good measurement of how asset quality is going to perform in the coming quarters. Just one quarter away. I know we've all banks and investors been waiting for these for a year. And the banks have always said the same. So far, so good. Things are much better. I remember when I was re-budgeting last year in May. The assumptions that we were considering are nowhere, where we are today. And I'm talking about my previous role, but it doesn't matter. You can go across any given bank. So things are evolving much better than what we thought. But let's wait, just one quarter wait. Let's wait a little bit and see how things comes in the coming quarters. Let's wait until delivery. I want to deliver - I want to see what we can deliver. And in terms of capital, I think we're comfortable with these 12%. And moreover with the buffer - with MDA buffer, which is what I really look at. We have MDA buffer, which is very close to 370, which is very much in-line with our peers or even above some of our peers, which probably have exposures well to other markets, which can be seen as good or bad depending on the risk approach that you take to those exposures. So in general terms, I believe, with the 360-370-350 management buffer, we are comfortable on running this mark, with the level of NPAs that we have and the kind of revenue that we can make and that I tried to point out before.
Lluc Sas: Thank you, Carlos. Operator, next question, please?
Operator: Next question comes from the line of Ignacio Sanchiz from UBS. Please go ahead.
Ignacio Sanchiz: Yeah, hi good morning. Thank you for the presentation and welcome you both. So a couple of questions actually, on the UK. We've seen two quarters already running, where the loan yield seems to be taking down from high levels. So I want to understand how much of that is related to the mix unsecure kind of undergoing mortgages, or how much of that might be related to the pricing of conditions of the mortgage book in the UK. And the second one is on the swap you have in the country. If you can give us the size and the contribution, how would you expect that to contribute in coming quarters? Thank you.
Cesar Gonzalez-Bueno: I'm sorry, Ignacio. Can you restate your question I didn't fully understand the one of the volumes of the UK?
Ignacio Sanchiz: Yeah, the loan yield in the UK seems to have come down a little bit in the last couple of quarters. So I would like to understand how much of that is related to mix changes? Mortgages growing faster than the unsecured, or how much of that is related to the pricing conditions in the UK becoming a bit more competitive. And the second one would be on the structural hedge swap you have in the UK, to protect insensitive deposits. If you can give us the size of the swap, the contribution to the NII, and how would you expect that to evolve in coming quarters?
Cesar Gonzalez-Bueno: Yeah, thank you. Now it's much more clear. I think the mix of mortgages versus other riskier type of assets is one of the things that makes the yields go down not too significantly. So it's not too high. But it's basically that this very high growth of mortgages compared to a much more stable or even declining in some areas of other products. The mix is what makes - what carries the most of the weight. Of course, the markets are competitive. It's markets that are growing very healthily. And there's a lot of file for the market share, but the price of the mortgages has not been severely impacted it for the mix.
Ignacio Sanchiz: In terms of the second question.
Leopoldo Alvear: Yeah. Well, the second question is again a little bit similar. We have been seen a little bit of an impact on these hedges and we may be seen a little bit going forward. But in any case, the customer spread has remained pretty stable Q-on-Q around 2.5%. So while we are reducing the yields, we are trying to reduce also the cost of funds. So hopefully going forward, it should improve.
Lluc Sas: Thank you, Ignacio. Operator, can we move on to next question, please?
Operator: Next question comes from the lines of Sophie Peterson from JPMorgan. Please go ahead.
Sophie Peterson: Yeah. Hi, here is Sophie, from JPMorgan. Thanks a lot for taking my questions. So my first question would be to both the CEO and CFO. You mentioned that you went through that loan book, you haven't found any negative surprises there, which is very encouraging. But it really has gone through, the bank has. Are there any other kind of surprises either positive or negative that you have bonds  within Sabadell? And if you can just share your thoughts here. And then my second question would be around ICO loans. The government is the basically think that around €3 billion of the ICO loans could be restructured. Is this going to have any impact on Sabadell? And if so, what would the timeframe be are of potential impact? Thank you.
Cesar Gonzalez-Bueno: I'm very sorry. I look around and the faces. Is that because of the voices sound? We were not very - we were not able to clearly understand the question. I'm sorry to ask you.
Sophie Peterson: Sorry.
Leopoldo Alvear: I think I got it. Sophie, if I haven't got it, you remind me. Okay. I think the first one was weather - regarding the fact that we have gone through the books, and we haven't found any negative surprises. As I said before, we were trying to be factual. I have - I've tried to explain you what we have seen. And the conclusion is that we haven't seen anything different from what other Spanish peers have. So in my opinion, but of course, I'm biased here. I'm part of a bank. Our asset quality is similar to our peers. I know we haven't found anything differently. There's no idiosyncratic issues in Sabadell in my personal view.
Cesar Gonzalez-Bueno: The other the other element or maybe of less interest in this type of setting. But it's also very important - can you hear me? Okay sorry for that. So the other elements I understand that are less relevant in this type of setting. I can assure you that for management they are absolutely crucial. Which is to see the vibrancy, the enthusiasm, the caliber of the solutions, et cetera. And in that sense, we found an organization that has, and I mentioned it at the beginning of the opening the eagerness to perform. That is unquantifiable. But let me tell you that it makes a tremendous difference in the ability to shape the future of the bank. We found flexibility, we found commitment, we found caliber in the people. We found that the SME franchise has elements that are clearly distinguishable from other competitors. The talks with clients are really - and they're very difficult to translate into numbers, but they really make a difference in the perception that we think this bank has. And that's why clear element is that when the transaction didn't go through it's surprising to see the support from clients that didn't want to see Sabadell disappear as a competitor. Because the long-lasting relationships on average more than 11 years, the close relationship of our relationship managers. It's not a surprise. It's a very positive surprise, I would say.
Lluc Sas: Thank you, Sophie. We just have time for one additional question. So operator, please.
Operator: Yep. Last question comes from the line of Fernando Gil from Barclays. Please go ahead.
Fernando Gil: Thank you very much for taking my questions. And welcome everybody to the new roles. Wishing you all good luck. So two quick questions from my side. First one is, is there a time limitation where or --- a time limitation where you can do additional cost restructuring in Spain and in the UK? This is one. I mean, do the agreements signed with unions have a timeframe where you cannot do additional cost restructuring. This is one. The second one is if you can drive us through the P&L financials of the deal announced yesterday with LAD - ALD sorry. How much NII impact will we see from 2022 going forward? Thank you very much.
Cesar Gonzalez-Bueno: There is no limitation from a regulatory or from agreements with trade unions on further decisions of further restructuring. On the LAD, the net income in last year in 2020, was around €7 million. So it's not going to be significant going forward any change. The rationale of the transaction has not been for the 10 basis points that we are going to get from the combination of the reduction of €320 million in risk-weighted assets together with the value that brings also a surplus. So we've not done it for these 10 basis points. The rationale has been really to have a better partner to be able to offer better solution to our customers, and certainly to move out of our book assets that are less in line with the type of assets that we want to hold at the bank.
Lluc Sas: Okay, thank you, Cesar and Leo. That concludes our Q&A session today. As always, the investor relations team is at your disposal. And we'll be happy to take any further questions you may have. Thank you everyone for participating and for joining us today. Have a great day.
Cesar Gonzalez-Bueno: Thank you.
Leopoldo Alvear: Thank you all.